Operator: Thank you for standing by. This is the conference operator. Welcome to Black Diamond's Third Quarter 2021 Conference Call. As a reminder, all participants are in a listen-only mode and the conference call is being recorded. After the presentation, there will be an opportunity to ask questions. . I would now like to turn the conference over to Jason Zhang, Director of Investor Relations. Please go ahead.
Jason Zhang: Thank you. Good morning and thank you for attending Black Diamond's third quarter 2021 results conference call. With us on the call today is our CEO, Trevor Haynes; and CFO, Toby Labrie. We're also joined today by COO of Modular Space Solutions, Ted Redmond; and COO of Workforce Solutions, Mike Ridley; as well as CIO, Patrick Melanson. Our comments today may include forward-looking statements regarding Black Diamond's future results. We caution that these forward-looking statements are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. Management may also make reference to non-GAAP financial measures in today's call such as adjusted EBITDA or net debt. For more information on these terms, please review the sections of Black Diamond's third quarter 2021 management's discussion and analysis entitled forward-looking statements, risks and uncertainties, and non-GAAP measures.  This quarter's MD&A, news release and financial statements can be found on the company's website at www.blackdiamondgroup.com as well as on the SEDAR website. Dollar amounts discussed in today's call are expressed in Canadian dollars, unless noted otherwise and are generally rounded. I'll now turn the call over to Trevor Haynes to review the quarter.
Trevor Haynes: Thank you, Jason. Good morning and thank you for joining us to discuss our third quarter 2021 results.  We're very pleased with our platform performed in Q3, MSS had a seventh consecutive record for rental revenue and is showing steady growth with strong utilization and good rate traction.  LodgeLink posted record booking volumes with triple digit year-over-year growth rates and double digit quarter-over-quarter growth. And WFS generated strongest revenue quarter in several years with strengthening utilization and rental revenue. These results show that our three core strategies undertaken several years ago to grow and diversify the MSS business, unlock the operating leverage in the WFS asset base and scale LodgeLink are working.  The results is a much more stable and diverse base of recurring revenue, and we believe enticing upside growth and value creation potential. As a result, Management and the board has the confidence to reinstate a quarterly dividend.  We expect that the strength in our core recurring rental revenue will continue into 2022, based on the demand we are seeing in several end markets and continue to believe there's ample opportunity for organic growth in our diversified rental platforms. We also continue to generate exponential growth and scale of our B2B travel technology ecosystem and are increasingly optimistic around the value being created within this business.  In addition to the highlights already mentioned for the quarter, we also generated free cash flow of over $17 million and exited with excess borrowing capacity of $116 million. In the MSS segment, rental revenue grew to $15.3 million up 55% from the comparative quarter. The outlook for MSS remains positive, and we continue to see opportunities to put organic growth capital to work at attractive rates, rates of return across North America within a number of industry verticals.  We expect continued growth in rental revenues driven by robust utilization, increasing rental rates, which were up 9% year-over-year, ongoing fleet additions and increased uptake of our value added products and services or VAPS. Bidding activity within MSS is strong throughout every market in which we operate.  A little under a year ago, we acquired Vanguard Modular Building Systems, which doubled the scale of our US MSS platform and gave us a strong presence in the education market. The acquisition has performed better than initial expectations, owing to very strong execution from the Vanguard team, strong demand for new and existing customers and continue tailwinds from government related stimulus.  Third quarter sales and non-rental revenue was higher than normal. But management continues to view these variable revenue streams as a derivative of our core rental revenue. Rental revenue continues to see healthy levels of growth owing to strong utilization rates, growth in VAPS, and regrowth. Our WFS business unit is showing further signs of improvement and continues to benefit from our efforts to diversify by end market and geography.  Management is seeing increasing strength in areas including mining and energy markets, as well as ongoing activity in government related sectors. Within Australia, we are also experiencing robust market conditions and strong utilization, particularly in the education market for space rental assets.  EBITDA in WFS, during the quarter improved 180% year-over-year, driven by ongoing increases in utilization, as well as a number of project related revenue items that contributed to the quarter. The WFS segment realized a large increase in non-rental revenue in the quarter from installation activity and non-recurring project operations work for projects in both Australia and North America.  Several previously announced contracts also began to contribute rental revenue during the third quarter. And we expect steady utilization for workforce accommodation assets to continue throughout the fourth quarter and into 2022, owing to the contracted rental revenues associated with these projects. LodgeLink digital marketplace offerings that is bringing innovation to the crew travel industry continues to scale and delivered its highest ever quarter for room nights sold. There were over 60,000 room bookings in the quarter, which was up 87% from the comparative quarter, and up 39% sequentially from the second quarter of this year. At the end of the third quarter LodgeLink had approximately 6200 listed properties, representing roughly 600,000 rooms, servicing 605 distinct active corporate customers. We expect a moderate seasonal slowdown during the fourth quarter holiday season. But we continue to see a healthy ramp up and key performance indicators across this business.  We are adding customers, properties and believe we will observe increasing crew travel activity with existing customers as we demonstrate the value proposition of LodgeLink amidst normalizing post pandemic travel volumes.  As mentioned, given the continued free cash flow generation of our platform, we have also reinstated our quarterly dividend at a rate of $1.25 per share per quarter, or $0.05 per share on an annualized basis. Over the last several years the strategic transformation of the company to scale and diversify our specialty rentals businesses has resulted in what we believe to be a stable underlying base of recurring revenue.  The stable and growing base of free cash flow is expected to provide preaching returns to shareholders through continued compounding organic growth, as well as through a dividend that grows with the platform. Management believes is to be achievable while also maintaining our targets around long-term debt ratios.  At this point I'll turn the call over to Toby Labrie, for some further details on the third quarter financial results. Toby?
Toby Labrie: Thanks Trevor. Total adjusted EBITDA for the quarter was $19.7 million, an increase of 101% from Q3 2020. Adjusted EBITDA for MSS was $12.5 million up 60% from the same quarter last year, and total revenue of $50.2 million was up from 110% -- was up 110% from the comparative quarter, with 59% of revenue generated outside of Canada. This is attributable to continued growth in rental revenue and somewhat higher than usual sales and non-rental revenue in the quarter.  Adjusted MSS EBITDA margins of 25% were lower than the comparative quarter of 33% due to a higher proportion of consolidated revenue being driven by sales and non-rental revenue, which is lower margin than rental revenue, as well as due to an increase in G&A costs related to an increase in our provision for a customer dispute related to one specific project of approximately $1.2 million.  Adjusted EBITDA for Workforce Solutions was $12.6 million, up 180% from the same quarter last year, WFS revenue of $58.6 million was up 239% from the comparative quarter. This is attributable to high non-rental revenues from several projects across North America and Australia during the quarter, as well as increases in rental and lodging revenue from previously announced contracts starting up in the quarter.  Total administrative costs as a percentage of revenue of 13% was down four percentage points from 17% in the comparative quarter. Total administrative costs for the quarter of $14.3 million were up 99% From a comparative quarter, primarily due to an increase in staffing levels following the Vanguard acquisition and continued growth across the company, as well as higher profit incentives due to strong performance of the business and the previously mentioned increase in provision for a customer dispute related to a specific project.  At the end of the quarter net debt of $159.5 million was down from $172 million at the end of Q4 2020. Excess borrowing capacity under the company's asset based credit facility was approximately $116 million. And the appraised net liquidation value of eligible rental inventory used to calculate the company's borrowing base was approximately $295 million.  Company exited the quarter with a net debt to adjusted EBITDA ratio of 2.7 times, including trailing 12-months EBITDA from acquisitions. The strong free cash flow generation of the platform has resulted in a full turn decline in our leverage ratio since the acquisition of Vanguard less than a year ago. The current leverage ratio falls within the company's long-term range target range of two to three times net debt to EBITDA. Our asset rent rental model has continued to provide a strong base of free cash flow generation and in the current inflationary environment, we view our asset base to be an attractive hedge. We continue to see a very healthy market for used equipment sales and in instances where we are selling used MSS assets, we are realizing sale prices at or excess of original capital costs.  Year-to-date, our overall return on assets in the MSS division was 19%, up from 15% in the comparative quarter, as both rates and utilization levels have continued to move higher. For new assets, we have seen an increase in manufacturing costs in the 10% to 15% range, but are continuing to attract rental rates and utilization that exceed our internal hurdle rates of return on these assets.  With respect to our existing assets, we believe the rising rental rate environment of asset turnover from contract to contract should yield improving rental margins and ongoing strength in our return on assets. As Trevor mentioned, we also announced the reinstatement of our quarterly dividend which amounts to $0.05 per share on an annualized basis.  While we remain focused on reinvestment in business growth, we believe the cash flow profile of our diversified rental platform can provide additional returns to shareholders in the form of a dividend that grows with the business, but also remain within our stated leverage ratios over time.  With that, we would like to turn the call back to the operator for questions.
Operator:  The first question comes from Matthew Lee with Canaccord, please go ahead.
Matthew Lee: Hey, great quarter guys. I'd like to start on the Modular side, sales on that front continue to be elevated. Can you maybe walk through what's driving that the demand you're seeing the market and what kind of run rate you're expecting for 2022?
Trevor Haynes: Thanks, Matt. Good to have you on the call. Perhaps Ted you can give some color around the sales volume.
Ted Redmond: Sure, yes. We're on the rental revenue side, which I think was what your question was, while we could talk about sales later if you want to. We're seeing strength across the platform. All of our operating regions are seeing growth in rental revenue, and that's being driven by growth and all the fundamentals which is our rental run rates are increasing, as Trevor said 9% on a constant currency basis. We're seeing our utilization either holding steady or increasing in some regions. And our number of units, again, are growing as we put CapEx in, and we're also refurbishing -- putting CapEx into refurbishing older units, and getting those units out on rent at good rates -- rent across the platform there.  2022, at this point, we'll have a capital program at 2022 and continue to grow the fleet. We don't see any change in the fundamentals for 2022.
Matthew Lee: Right, but I mean, just specifically on the sales side, I mean, MSS sales. I'm just thinking that, you're selling more units than run rate traditionally has, and at the same time, you tend to grow the fleet. So I mean, is there kind of conflict between those two desires?
Ted Redmond: Well, we're not really we're -- we did clean up some older units. So we made a conscious effort, some of the older units, you have to make a decision on whether to refurbish them, or sell them. So I think a lot of our sales were just older units that we wanted to -- didn't want to refurbish. So kind of a rejuvenation of the fleet so to speak. We didn't have strong demand for sales. And as Toby said, the margins on the use sales were very strong. So probably running slightly higher than the rate we'd expect to going forward for use sales, but good opportunities that we took advantage of.
Matthew Lee: Okay, that's great. And then maybe, on the dividend, I completely understand starting small, but do you kind of see some potential here to grow that dividend going forward, or maybe your capital allocation priorities more geared towards M&A and debt repayment?
Trevor Haynes: As you can expect, reinstatement dividend took some careful consideration, we certainly want to make sure that it is sustainable for the long-term, we are confident in the underlying fundamentals of the business. And we believe that the cash flow because of how diversified we are by end market by geography and in even the ratio of the scale of the businesses, compared to four years plus ago, when we were a dividend payer. And so the first decision is whether or not the business is healthy and sustainable. And we can put a dividend in place with confidence. And so we did decide to start with a lower dividend to ensure we have room to increase over time, which is what we would like to be able to, of course, it's based on the performance of the business on a go forward basis.  And then the other consideration, Matt is, the return we're able to generate on our shareholder’s free cash flow, investing back into the business. And as Toby touched on what we're seeing for rates of return, and with the contracted nature of our business, it's really attractive to compound cash flow back into the business. And so we're looking at that combination of good high return organic growth coupled with a growing dividend. And so that's really what we focused on in this case.  And then the third consideration is wanting to get very comfortably within the debt ratio. And as a reminder, our debt facilities are asset based lending. And so we borrow against the liquidation value of the assets. And so we're comfortable carrying a slightly higher debt to EBITDA ratio. And we don't have any covenants around debt-to-EBITDA. But we said before, that we would like to be comfortably between two and three times. And so as we've come into that range, we think the dividend comes into play. And we want to ensure that the business can compound its growth, stay within our debt ratios, and then be able to pay our shareholders over time.  A bit of a longer explanation, but that's the three perspectives that we spent some time looking at before deciding to raise the dividend.
Matthew Lee: Thanks. Appreciate the insights. That’s it for me. 
Operator: . The next question comes from Frederic Bastien from Raymond James. Please go ahead.
Frederic Bastien : Good morning, guys. Just a question on, with respect to the dividend, and then what's left with respect to free cash flow, how active are you planning to be on capital deployment in the short term, given that the inflationary pressures that you are benefiting from might now are also increasing the cost of the assets here, you'd be looking at purchasing?
Trevor Haynes: Yes, it’s a great question. And we are seeing escalation in the cost of new assets from our manufacturers, and we're also seeing constraints where our manufacturers in their supply chain for certain components and even the basic commodities of lumber and steel. So it's an interesting dynamic, it's certainly as Toby mentioned in his comments, it is allowing for rental rate growth, if you benchmark against the cost of a new asset, which has very powerful compounding effects on the -- 9,000 units we already own in MSS business.  And as Ted mentioned, on our sales program, with high utilizations we’re able to invest in the refurbishment of older assets to bring them into market and to generate market rates. And that's a very efficient use of capital. And then with the strong pricing, unused assets, those that don't make sense on how much investment to get them to market condition, we can sell them at a good rate.  So we have very good, very tight controls around the sale of assets, we need to be able to recover essentially enough to buy a new asset to replace the asset we're selling. Which we receiving those opportunities in the market. And then we recycle and replace. But we do expect that we will continue to add to our fleets at a reasonable pace through next year and using various mechanisms with our supply chain to try and mitigate the increasing costs involved. Yes, go ahead.
Toby Labrie : Just one other point because a lot of our asset purchases for rentals are done for specific projects that we bid on and a lot of those projects would have 12 to 16 months term. So we're contracting out that revenue for a significant period of time. So we know we're going to make a good return on that investment over the initial rental period.
Trevor Haynes: We use to cost of the new asset to set that rental rate, so which we're passing through our system, the escalation and cost of the asset.
Frederic Bastien: Okay, cool. Thanks for the explanation. What was the big increase in non-rental revenue at WFS and what was it attributed to and how significant of an impact did it have on say EBITDA?
Trevor Haynes: Ted, do you want to. 
Ted Redmond: Sure I'll take. Hi, Frederic, how are you. 
Frederic Bastien: I'm good.
Ted Redmond: WFS, we had numerous projects that commenced in the quarter that had a lot of sort of non-rental type work, transportation installation, other sort of wraparound services in North America and in Australia. And the kind of good thing about it is we've worked really hard for the last several years around our strategy of diversifying. And most of those projects are outside of oil and gas in terms of where we've executed. We have some in the US around with government. In Australia, we're tied into the mining sector. And then in Canada, in particular, in Eastern Canada, we've had very good success and traction, in terms of the hard work in terms of executing on our strategy over the last few years. So that's really the bulk of it.  And it is tied sort of to the rental piece of it. It's ongoing, good contracts, both in the diversification through mining government, but also some of these long-term projects that we've been tied to in Western Canada that we will see good rental through 2022 as well.
Frederic Bastien: Thanks, is there a bit of granularity you provide on the contribution and at the -- maybe Toby or, Trevor, what can you say about because we can't use the third quarter results in straight line that into the future and there was obviously a bit of a you obviously benefited from a number of things in the quarter but that won't necessary be repeated in answering quarters.
Trevor Haynes: Yes, typically, Frederic, our margins on non-rental revenue are in the 3% to 5% range. And so it kind of depends on the type of revenue in the quarter where we're on higher side of that range given mix of revenue.
Frederic Bastien: Okay, sorry go ahead.
Toby Labrie: What you're touching on is the elevated non-rental as we generated operations, revenue from transportation of assets, install related revenue for putting assets in place, what we enjoy next is the recurring rental stream against those projects, once they're up and running, and so we did have a higher mix, because several projects were being deployed at the same time. So you would normalize that but what you're going to see in return is the higher contribution rental stream, as more of our workforce assets are generating recurring rent, and we will normalize we expect on the non-rental operations revenue associated with putting camps and lodging facilities in place.  That being said, we do have projects being deployed currently and into in Q1. So, that operating non-rental revenue stream doesn't go away. But I think you're correct, we would suggest it normalizes. But behind that we're seeing improved utilization and rental run rate. So on a go forward basis, you'd need to model an adjustment between the two,
Ted Redmond: Frederick maybe to put some more goalposts around that our typical quarter and workforce on non-rental is anywhere from $5 million to $10 million of sort of non-rental. And so we would expect that's sort of your more normal range. But certainly on any given quarter, we can see bumps like this, where we'll have a number of projects that sort of coalesce and come into the quarter.
Frederic Bastien: Thanks. And just wondering about there was potential for this Goldboro project to add to -- significantly add to revenues, is this project shelf definitely friendly. Do you have an update on that? Or you can't count on this? Or do you actually have hopes that this will come back down the road?
Trevor Haynes: We're still tracking it. The owner of the project is still assessing. There hasn't been any formal announcements that had been made about the project about whether it's carrying forward or not where we are still staying close to and talking to the owner. In terms of will it generate revenue in the short term I think is pretty helpful. Beyond that, it's hard to say.
Frederic Bastien: Okay, thanks guys. Appreciate it.
Trevor Haynes: Thanks, Frederick. 
Operator: The next question comes from Trevor Reynolds with Acumen Capital. Please go ahead. 
Trevor Reynolds: Good morning guys. Just curious on the energy services side of the business, we saw utilization drop a little bit in Q3 on a year-over-year basis with the strength in commodity price, do you beginning to see things bounce back there?
Trevor Haynes: Yes, Toby if you can. 
Toby Labrie: We’re seeing improvement in the Canadian market. We're seeing sort of our accommodations piece of that improve. And we have some decent contracted revenue going forward in Q4, and beyond that, so we anticipate to have a pretty strong winter season in Canada. And even in the US, we're seeing some pickup with whatsoever activity down there. That tied to the energy sector, but also tied to the non-energy sector with government and disaster relief type projects as well. So all in all, pretty pleased with how those assets are performing for us.
Ted Redmond: And Trevor, maybe just to add the surface, I think you're referring to the surface equipment, which… 
Trevor Reynolds: Yes, that's correct. Yes. 
Ted Redmond: The pretty small component of the overall workforce business. So I think a couple of quarters ago, we actually lumped our wellsite accommodation assets into the workforce utilization number. And so that's sort of what I think Mike Ridley is speaking to in terms of seeing some good improvement. On a quarter-over-quarter basis, we did see a bit of decline here in the surface rentals, part of the business. But again, it's a very small component of workforce. And we probably had a bit of a strong record than normal in the comparative quarter, going to a few customers that were very active.
Trevor Reynolds: Got it. And then on the M&A side of things, what's the acquisition pipeline look like? We know we've seen the number of transactions in the space recently. Just wondering what it looks like to you guys?
Trevor Haynes: Yes, well we continue to track a number of opportunities. But first, we don't talk openly about them, and we don't plan them into our businesses, there's a level of uncertainty. I think, from a broader perspective, we're seeing these platforms, trading at higher multiples than I've seen in quite some time in our industry. And there's been quite a bit of consolidation. And so there's fewer platforms out there in terms of targets of any size.  However, we believe, smaller tuck-in acquisitions, at accretive rates can be achieved, various parts of our operating footprint. So that's what we're focused on. But certainly a very robust level of interest in these type of businesses. And the multiples, as you've seen from a few of the recent announcements are quite elevated from long-term average. So we're watching it closely.
Trevor Reynolds: Got it. Thanks, good for me.
Operator: This concludes the question and answer session. I'd like to turn the conference back over to Trevor Haynes for any closing remarks.
Trevor Haynes: Thank you. Thank you, everybody for joining today and your interest in Black Diamond, and we hope you have a great day. Thank you.
Operator: This concludes today's conference call. You may disconnect your line. Thank you for participating and have a pleasant day.